Jeff Thompson : Leah, do you have a copy of the disclosure?
Leah Lunger : Yeah, I was just going to say, why don't I get our opening remarks going firsthand here?
Jeff Thompson : So why don’t I welcome everybody and then hopefully Stan jumps in here. And thanks again everybody for joining us for our call for the last parts of 2024, as we switch to our new calendar year in 2025. I'm going to have Leah start with some of the disclosure stuff. She'll then hand it off to me and we'll get moving here. We got a lot to talk about. So Leah, can you read the disclosures for us?
Leah Lunger : Yeah, thanks Jeff. So welcome everyone to the Red Cat Holdings Fiscal 2025 Second Quarter Financial Results and Corporate Update Conference Call. After today's presentation, there will be an opportunity to ask questions, to ask a question. You just can submit it through the Zoom Q&A function. Hopefully Stan will be back in to moderate that. Participants of this call are advised that this conference call is being recorded for playback purposes. So joining us today from Red Cat Holdings are Jeff Thompson, Chief Executive Officer, myself, Leah Lunger, Chief Financial Officer, and Geoffrey Hitchcock, Chief Revenue Officer. During this call, management will be making forward-looking statements, including statements that address Red Cat's expectations for future performance or operational results. Forward-looking statements involve risks and other factors that may cause actual results to differ materially from these statements. For more information about these risks, please refer to the Risk Factors described in Red Cat's most recently filed periodic reports on Form 10-K and in Red Cat's press release that accompanies this call, particularly the cautionary statements in it. The content of this call contains time-sensitive information that is accurate only as of today, December 16, 2024. Except as required by law, Red Cat disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call. It is now my pleasure to turn the call over to Jeff Thompson, Chief Executive Officer. Jeff, go ahead.
Jeff Thompson: Thanks, Leah. Well, so just a little bit of housekeeping again, as we usually start off. Like I said, we have a lot of fun stuff to talk about, today's news and a few other great things that are happening and Geoff's updates and a little bit more color on guidance. But not all of it's going to be super fun. We do have a little bit of sad news and I'm going to hand this over to Leah for a second here.
Leah Lunger : Thanks Jeff. So I'm just going to take this opportunity to inform everyone that I have resigned as CFO of Red Cat, due to family reasons. Just to share a little, one of my children has a disability and his needs have increased such that I can no longer devote time required to do my job well. This has been an extremely difficult decision to say the least. I'm very sad to be leaving, especially at such an exciting time for the company. But I've chosen to prioritize the needs of my family and truly the needs of the company. On a more positive note, I'm also actually five months pregnant. So we've been planning for some kind of interim support after I have the baby. So now with this change, we're just kind of accelerating that timeline. Jeff, I'll let you add anything that you want to that.
Jeff Thompson : Thanks, yeah. This is -- we're sad to see you go, Leah. The only good news out of this is that we do have a bunch of candidates that we've been talking to help when Leah had the baby. There's some great CFOs with some industry expertise in the drone space that have been doing it for quite some time. So I think this is going to be -- we're going to be okay. We're going to miss Leah, but we have been kind of planning for this. We're just going to have to accelerate everything. So with that, I'm going to kind of move on into some of the stuff that's happened. Mostly today I've been on the phone all day. Everybody wants to know about what's going on with this new partnership that we did with Palantir. And it is really amazing. We've been working with these folks since AUSA in DC. And what we are doing now is we're taking the Black Widow, which is the winner of SRR Soul Source, which is going to be 12,000 drones out there. We're partnering with Palantir's visual navigation and their artificial intelligence Maven or Maven, I always say it wrong. So this Black Widow is going to be one of the most capable birds ever fielded by the DoD. And it fits in your rucksack. I keep saying that all day long. So this drone has a capability to identify objects. Well, let's just go back to some of the high level stuff and Geoff will dig into this because he's been selling drones forever. The two biggest problems that you're going to face when you're at a battlefield right now is EW, Electronic Warfare, which we actually have some great testing that we've done and completed in EW World with Doodle. And again, Geoff will dig in a little deeper. And GPS, GPS's don't work in any battlefield. They're basically useless. Our goal is to not even ship a GPS on the Black Widow in the future and just continue to utilize visual navigation. The visual navigation that Palantir has is unlike no other. There's 40 companies out there trying to do this right now, but they have access to real-time capabilities in the satellite images. So if you're in a battlefield and three of the buildings disappear and the road disappears, most visual navigation will not work anymore. We can get real-time updates to that mapping that you're comparing the visual, what the camera sees to what the map you have on board, the Black Widow. So this thing is going to be very difficult to defeat in a battlefield. And when you add our strike capabilities, you're really giving a war fighter something that's going to make them safer and more lethal. So that's a really great thing that's just happened and we finally announced it today, but we've been working on this for quite some time. They're already working on the drones and integrating this. So a lot of good stuff is going to happen there. The other question we get with this deal is, you know, how does this work financially? So this is just going to add additional revenue to each drone that we sell. We haven't put the pricing out yet. We haven't put out the revenue share that we're working with Palantir. But this is going to be very high margin software that's going to go on every bird that people want, visual navigation, specifically visual navigation, that we believe is going to be the best in the drone space. So this is going to be an add-on. It'll bring our margins up even once we get to the 50% gross margins with just the hardware side. This software will add to our margins and hopefully accelerate our path to profitability. Just going to touch on guidance a little bit because we'll be coming back to it. And we upped our guidance from $50 million to $55 million goal posts and we put some kind of wide goal posts out there, $80 million to $120 million. So that's basically adding what we think SRR-related revenue is going to be to the total. The wide goalposts are, you know, we're not completely into all the contracting that we need, which will be happening in the next few weeks. We will be probably having an Analyst Day in New York in early January. We're hoping to pin it down before tonight. So we'll be actually giving an update just in a few weeks after the holidays and we'll be able to give you more detail on all the contracts that we've been signing and maybe firm up those goalposts a little bit for everybody. But with that, I am going to hand it over to Geoff Hitchcock, our CRO.
Geoffrey Hitchcock : Thank you, Jeff. Thanks, everybody, for joining. I'm looking at the numbers. It's astounding that we have like [1.1] (ph). Now we have 1100 people watching this right now. And it wasn't too long ago. It was 10 or 12. So thank you all for joining. I do want to take a minute and thank Leah for everything she's done for the company up to this point. I wish her the best. I understand her reasoning for it, but it does make me sad. She was a joy to work with. Hopping into a little bit of what we [got going](ph) on. So first and foremost, since the SRR announcement about three weeks ago, we have been inundated by customers requesting quotes and pricing and response to RFPs, both through DoD, USG and internationally. And I think as of Friday, the quotes that have gone out the door right around [14.7 million] (ph), this is no SRR customers, This is all Black Widow customers. Proponents of those are going be U.S. DoD. They're doing budgeting now. So when the CR ends, they can pull the trigger on that. So we're super excited about that. We're getting great demand signals globally on the new platform. So we're super excited about that. And then again, as I stated, when the [CR ends] (ph) and the budgets are allocated out to the individual entities, we expect the triggers to start getting pulled on those. We have been in discussions with the Army since the award. Right now we've responded to their request for a R&D, 6 month R&D contract. We're expecting to kick that off. That's to finish up some of the hard stuff, visual navigation being one of them. We're expecting that in the January timeframe for award. We have the short range reconnaissance contract kick-off briefing scheduled for some time in January. That's when we're going to get a lot more understanding of what initial LRIP and full rate production contracts are going to look like. So over the next couple of months, we'll have some answers for you right now. We're still don't know until we have the sit down, right? But again, that's supposed to be scheduled in January sometime. And we'll keep you guys updated on that. As Jeff was talking about the Palantir announcement that went out today, right? We've been looking at a lot of companies and this is one of the hardest remaining problems to solve that the army had requested, which is both day and night visual navigation. Palantir has been a market leader in this space for a while and the fact that they're bringing it down to a platform our size, solves the GPS problem. And I do honestly feel that a day will come where we don't need GPS at all, and we're just flying visual-based navigation. And that will make us all domain, all weather, day and night, the ability to navigate safely and accurately and make us more lethal on the battlefield. The other problem, That was one of two problems, right? The GPS jamming or GPS contested environments, and then the RF jamming contested environments. And our partnership with Doodle Labs is very strong. They offer something in our space with their frequency hopping sense software where it's not actually hopping within a band, it's hopping within six radio bands. So makes it very hard, very difficult to jam. So again, to kind of reiterate Palantir, we're going to be working very hard. I think it's going to take us about 6 months, Jeff, you can pipe in. I think it's going to take us about 6 months before we're showing to the Army that software. They're very excited. We're very excited. But I think it's going to be a good year. Lots of work still to do. The work continues. But we will have the most dominant platform in this market space globally when we get this integration done. So rather than that, I'll wait for your questions later.
Jeff Thompson : Before we hand it off to Leah, I just want to, you know, translate some of the Army speak from Mr. Hitchcock. The CR, he's talking about the continuing resolution on budgets. So that money is going to be loosened up pretty soon. It just needs to be signed. On some of the contracts that he was talking about, again, we're getting additional newfound money. It's going to be approximately $3 million, Geoff, I think you said, that we're going to get in January for these new features. LRIP starts again, continues to still start in the first half of 2025. Bull rate production still starts in the second half of 2025. And since I'm the guy that's been dealing mostly with Palantir, we're going to have the software on that drone a lot quicker than that. And we're hoping to demo it in just two months to the public. So we will have it ready for LRIP. That software will be ready. Now, another exciting point is once we have it integrated fully onto the Black Widow, we're going quickly right onto the flight edge 130, probably be into the Triton version when we put visual navigation on there, because we'll be putting the doodles technology on the Edge 130. So it'll also be able to do EW and go through GPS denied locations. The two hardest things to do on a battlefield with small drones and we have that cured. And not only that, we have artificial intelligence from the best artificial intelligence in the world on our drone. It's really great. So with that, I'm going to hand it off to Leah. Take it away.
Leah Lunger : All right. Thank you, Jeff. Before I dive into the financial highlights of our second fiscal quarter, I just want to remind everyone that we're changing our fiscal year end from April 30th to December 31st, beginning December 31st, 2024. So today we're reporting quarter two results for the six months ended October 31st, 2024 in accordance with our previous fiscal year. Our next report will be a transition report 10-K for the eight months ended December 31st, 2024. After that, all future filings will be based on calendar year. We're kind of in this middle transition phase. Year-to-date revenues totaled $4.3 million compared to $5.7 million for the same period last year. So the 24% year-over-year decrease and it's due to the company's strategic decision to focus on Black Widow. While we're still selling the TL2, we have dramatically shifted manufacturing and sales efforts to prepare for mass production of Black Widow in calendar 2025, prioritizing long-term growth over short-term revenue. Similarly, gross margin year-to-date was negative 12% of revenue compared to positive 25% in the same period last year. This was primarily due to the final delivery of the prototypes for the SRR Tranche 2 program at the start of the fiscal year. Also our focus on Black Widow and Webb led to lower than planned production quantities of TL2, which resulted in lower than targeted gross margins. In spite of this, our efforts have been successful and we're thrilled to have been selected as the winner of the US Army's Short Range Reconnaissance Program of Record. We plan to, we've said this before, but we plan to produce a Black Widow for several years, steadily increasing margins over time. Additionally, during quarter two, we closed the acquisition of FlightWave, adding the Edge 130 to our product mix. So now with our family of systems, we expect to reach up to 50% gross margins in the future under mass production. So cash used in operations totaled $12.5 million, representing an 11% increase compared to the same period last year. This is similar, right? In the second fiscal quarter, we began to increase staffing and other resources to ensure our ability to fulfill the demands of not only the Army contract, but also other sales of Black Widow Webb and the Edge 130 that we anticipate in the future. We ended the quarter with $5.7 million in cash and accounts receivable and have since closed an additional $6 million financing. So we're still evaluating our long-term cash needs as we prepare for future growth. And with that, I'll turn it back over to Jeff. I should specify, I mean, Thompson.
Jeff Thompson : Thank you. Yeah, great. So we're kind of moderating ourselves here. The practice round, it was much easier when Stan was guiding us around here.
Leah Lunger : You know, I can take questions, Jeff, if you want. I've got that [pulled up] (ph) so I can do that. I know Stan's kind of --.
Jeff Thompson: Right, yeah. He just emailed me a bunch of the ones from some of the analysts on there. But let me just also just kind of round up because a lot of the -- I bet you all the questions are going to be coming in are about fundraising. So as Leah just said, We've got cash in the bank [way into] (ph) the quarter. We just closed on $6 million worth of, we got some more cash. We got about possibly $3 million coming in January from the new features on the army. We believe that the debt holders have warrants that are not cashless, that are weighing the money. We expect them now that their shares are registered to probably exercise those. That's another $5 million. So we are very healthy to wait till we need to make a decision to hopefully raise as little money as possible. As we also have been notified to that we should be applying for the Office of Strategic Capital, which does loans between $10 million and $150 million. They just appropriated $998 million for that program. It's available now. We're applying for it in early January. We're supposed to know by the end of February, early March, if we can receive that $10 million to $150 million. They only want to give it to 10 or 15 companies. There's about 15 categories. I think we check off six or eight of them. We're a perfect candidate. We have a program of record. So we hope that we can get that Strategic Capital, a very low interest. And there's also, you can read it. It's all out there publicly that you can also waive repaying the loan for years. So it's very grant-like type of funds. So we've got plenty of ways to access capital without dilution.
A - Jeff Thompson: And with that, I'm going to grab some of the questions that we've already had coming in. The first questions are from Glenn Mattson of Ladenburg. I'll read the questions. It's going to sound goofy when I read the questions, but I'll read them and then respond to them. I want to touch more on the relationship with Palantir. Can you talk further about how that came along, how much collaboration was done before, how much integration still has to get done, and was the relationship driven by customer asking for the two of you guys to work together. That's a great question. We are actually going to be working with a joint customer that requested this technology on one of our drones. I'll just leave it at that. We've been working with them for, like I said, since AUSA in early September, and we hope to have this complete in the next couple of months for at least initial testing. So this is moving pretty quickly. Also, is there upside from Palantir built into the guidance and if not, can you frame how much upside it could provide? Well, that's actually a good question. So we did give guidance of $80 million to $120 million. That does not include any additional revenue on each Black Widow drone that will probably, I think, I don't think anyone's not going to want to take this software. So there'll be additional revenue on every drone that you get this Palantir, [VISNAV] (ph), and artificial intelligence on every single drone. So that will add to our guidance, but this is a relatively new situation. We haven't given pricing or any details yet. So once we have those pricing, that will add to the guidance. The next question is, in terms of funding, can you just remind me the time your latest assumptions or needs of investment, either OpEx or CapEx, level of commitment from DoD? I think we -- I covered that a little bit, but again, we are trying to wait and find out what type of upfront payments we'll get for LRIP and full rate production. And as I just mentioned that we have the capital to get through that part. Next question, Ashok Kumar from ThinkEquity. Would you expand on the previous question of what revenue per drone we can expect with AI software from Palantir? Oh gosh, I knew everyone was going to want to know that. We don't have the per drone revenue number yet. We hope to get there as quickly as possible. We'll let the Street know. And obviously software has very high margins compared to hardware. And we're hoping to get to that 50% gross margins as we continue to stamp out the Black Widow. Soon as we know, we'll let you know. When do you think the FlightWave factory will be up and running? That's a good question. So we are just starting to move in now. We just signed the lease. We hope to have more of a startup style factory in about three weeks or four weeks where basically they're sitting on top of each other in their office right now. They'll be able to spread out, put a bunch of tables out there and just get a production line that's mapped out and then it'll look like a real factory like the Teal Factory, hopefully in about two months. So we are trying to meet some goals that they have with all the orders they have. They've got orders for almost 250 drones already. So we need to build them and ship them. So we hope to ship them in Q1, so it'll be up relatively quick. And will we be adding the Palantir software to the Edge 130? Yep, I did mention that earlier, yes. Once we're done with the Black Widow, we're going to move right to integration on the Edge 130. Next question. Kevin Mak of Creek Drive Capital. You said Black Widow was basically built to spec for the Army SRR program. How do you expect to adapt it for winning non-Army business in the United States, i.e. Law Enforcement and First Responders, et cetera? This is a really good question because there's actually some other things that we were going to bring up later. So the ban of DJI and Autel is passed the House. And I'm not sure if the Senate's voted on it yet, but when this new NDAA bill goes through, it usually goes through on December 20 something for the last two years, DJI and Autel will be banned within a year. So you will not be able to get Chinese drones anymore. Now what that does, you know, Brendan, who does our government work, with the numbers that we have been able to derive from the customs holding the DJI equipment in customs, we think that there's going to be a TAM of about $975 million once this DJI ban is put in place. And as Kevin's question was, we did build the Black Widow specifically for the war fighter, specifically for the requirements that the Army gave us. But in the past, we've done the same thing and we have first responders, border patrol, almost every agency is either has a TL2 or is asking for a Black Widow right now. So, you know, these do work for First Responders and could work for Law Enforcement. So with that TAM of $975 million, I'm going to be very generous to one of our competitors. If Skydio gets 2 and we get 1 for every of these of that TAM, that could be a big market that we weren't looking at. And frankly, we were ignoring it while we focused on the army. So that's a massive TAM that we are going to put some efforts towards now that DJI and Autel are going to be banned. Great question, Kevin. Tim Weintraut from Alpha Wolf Trading. Is RCAT going to be presenting at any investment conferences in January and February? Yeah, we've been invited to quite a few. We've been invited to so many things the last few days. We will get our conference schedule out right after the holidays, but there's going to be quite a few of them and they're going to be some bigger banks than last year. I'll just say that. Here's one of the emails. I mean, chat that came in that I just go forwarded. Listened to the AVAV, that's AeroVironment FY call, and they said that small drone business is difficult, referencing RCAT financials, and that's why they did not participate in SRR. Well, that's interesting. Well, if they're looking at our financials right now, we haven't shipped a single SRR drone. So look at our financials in two quarters, And I think you'll realize when you have a product like this, it'll have 50% margins. And now with software on it, that's better than almost anything in the industry or better than everything in the industry. I'll just say that. And I will also remind that company that Geoff might have something to say about this, but they did participate in Tranche 1.
Geoffrey Hitchcock: They weren't down selected.
Jeff Thompson: There you go. They lost, we won. Okay. So that's all the ones that Stan keeps feeding me. I will have to go to the live ones as I don't have a feed anymore from Stan. Leah, if you have a few.
Leah Lunger: I've got this, Jeff, yeah, I can read these. Okay, So from [Hassan Kakhli] (ph), what is the competitive landscape for drones being able to land in the water, recharge, send data, et cetera? Does anyone else have a partnership with a company like OPTT?
Geoffrey Hitchcock: I can address this. So competitive landscape, there's not much competitive landscape actually for drones being able to land in the water because that has to be a purpose built drone, right? The only reliable one that I know of is AeroVironment Puma, because it was purpose-built. I was there when they did it for amphibious ops. That being said, it doesn't necessarily have to land in the water. But if it lands on something that's in the water. And that's the approach we're taking with some hive solutions and unmanned surface vehicle approaches that we're talking about when we talk about Red Cat Future initiatives. So there's lots of ways to skin a cat. We've just selected to use unmanned surface vehicles with hives that will keep the drones on charge while they're in the box. Not many people doing that. I don't know anybody actually that's doing that cradle to grave. That's what makes the Red Cat Future Initiative so compelling.
Leah Lunger: Right, great. Thank you. We'll take another one here. I apologize if I'm messing up these names but Sambodhi Sarkar says, can you please describe how the Palantir contract will help increase gross margins?
Jeff Thompson: Yeah, it's pretty simple. So if you look at what we've been saying for quite some time in the modeling that myself, Geoff and Leah have done while we're in the factory in Salt Lake City recently. We do get to about 50% gross margins just stamping out the same aircraft quarter-after-quarter. So excited that we don't have to switch aircrafts for the first time ever and just build this airframe that's going to be so important to the industry so people can actually put their software on top of our drone now, knowing it's going to be there for years, not only to the Army, but all the other branches and all the other parts of the DoD and MoDs across the globe that want this product. So 50% gross margins with just hardware. It's hard to get any further than that. You could squeak out a little extra with scale and getting better prices because of the amount of ordering we're doing now and because we're a program of record. We move up the list because we're critical to, so we get moved up on the critical chips list and all that stuff. So that helps with margins a little bit, but you're not going to get to 70% gross margins with just the hardware side. Now, add Palantir software that can do visual navigation, which is very difficult to do with real-time updates, combined with artificial intelligence from someone that's been collecting objects and data from machine learning for 20 years in wars. That is very high margin revenue. So if you throw some number, I'm not going to give a number on the software, you can do it. $10,000, $20,000 per drone of software that can do those things. Their margins are up near 80%, 90%. So you put those software margins add on to our 50% gross margins, you can dramatically increase the margins going forward, which hopefully gets us to cash flow profitable -- profitability quicker.
Leah Lunger: Thanks, Jeff. Okay, the next question here is from Akshay Rao. Have we seen any movement on NATO and other EU contracts that were awaiting clarity on the SRR award? Any timeline expectations here? Like that he's pointing to Hitchcock. Why don't you answer that for us?
Geoffrey Hitchcock: Yes.
Jeff Thompson: Thanks for asking that question, by the way. I ask it every day.
Geoffrey Hitchcock: Yes. There were several NATO countries awaiting the SRR announcement. We are actively engaged with them. Timing we're not going to release at this point. As it continues to work through that values, we won't either until it continues to work through that. But part of that's [14.7 million] (ph) over the last couple of weeks. Some of that is for FMS cases, some of it's for direct commercial sales. But we have several opportunities for working in NATO.
Jeff Thompson: Actually, let me add to this. So our guidance is -- the new guidance is with SRR related revenue. And I was going through the weekly forecast with Jeff and his team the other day. And one of the things that they did bring up and so I'm going to probably scare Hitchcock right now but we have no idea how to predict foreign military sales. They come in out of nowhere, they come in hot. We had a very large request the other day but it wasn't for a class one drone. It was for a class three drone and they thought we had one, but the number was huge. So, but they just coming out of anywhere. So none of -- there's no foreign military sales predictions in there, but I'm sure that we'll get some.
Leah Lunger: Thank you both.
Geoffrey Hitchcock: It's important to keep in mind folks that right now we're in the process of doing the first engineering build, which is going to net some marketing assets. So we haven't even taken Black Widow out to show anybody. So after the first of the year, when we have those assets, we're basically going to revisit everybody we've ever visited and start that process all over again. So most people want to see it and touch it before they buy it. So we're starting to work demo after demo after demo after demo. So I think the numbers are only going to improve. But the fact that we've got 14.7 million in quotes out there for somebody that's never even seen it fly. I've never seen that in my 20 years in this space. So I think it's pretty incredible.
Leah Lunger: All right, thank you guys. Another question comes from Christopher Johnson. How does Red Cat Holdings plan to differentiate itself in the drone market, particularly in defense and commercial sectors, and what steps are being taken to secure long-term contracts in both spaces?
Geoffrey Hitchcock: Well, I'll take that as well, Jeff --.
Jeff Thompson: I'm just going to hand it to you. That's why you're here.
Geoffrey Hitchcock: Yeah. So right now, right now, focus is getting ready for the SRR program, finishing up the system for both US and international government work. The next big thing we have to do after that is get our remote ID incorporated into the drone. The board design already has the hooks for that done, but the first thing we're going to do is get it right for the Army. And then we will start looking probably mid-year, getting our ID integrated into that. We're looking at some other things that would be very disruptive to the community that first responders are going to love. I'm not going to talk much about it right now because I don't want other people to start working on it, but we have an approach that's going to be very unique to that. And 90% DFR and USG asking for the same thing the military is asking for, right? So you can, if you've got GPS jamming, the Palantir software is going to work both ways. The Doodle radios are going to work both ways. You know, flying in urban environments are always contested. There's nothing but RF blasting. So we're looking at new and creative ways to make sure we're addressing that market as well.
Jeff Thompson: I'll just add a little bit to that, Leah, before we go to the next question. So again, we've basically been laser focused on building a drone that's for the war fighter. But having a drone in swarm capability, or even the smaller hive, which does 12 drones, it can fit in the back of a truck. You know, think of the border patrol and things of that nature. That's a great way to do those things. But now with the new total addressable market of almost a $1 billion is becoming available and taken away from the Chinese drone manufacturers. You know, that's a chunk of revenue that it's probably going to be significant, but we've been focused on SRR for quite some time. So all of those locations, they could all use a small swarm. They could surround the building. They could do all the things that they want to do for safety. There's a lot of great things. Or you could chase down a bunch of drones in New Jersey. Just kidding. But yeah, this new TAM is pretty exciting to us. We will be putting some effort on it and does expand our capabilities for 2025 calendar. So glad I can say that now.
Leah Lunger: All right. This next question just came in for Hitchcock. So don't even have to throw it to him.
Geoffrey Hitchcock: Another calling [your name] (ph).
Leah Lunger: From Luca Soja, does a contract with the U.S. DoD limit you from selling drones to foreign countries?
Geoffrey Hitchcock: Not at all. Not at all. There's going to be a slice that go to our partners and foreign countries, right? As long as you're not on the bad boy list, we'll be able to sell to anybody. It'll still be EAR 99. It'll be totally exportable. The Palantir software ad will have to be worked through, right? That may require an export license, but it's not something we're unfamiliar with. So it's just a matter of getting that approved through state. But yeah, what we're developing for SRR, there will be a slice of that -- that we'll be able to sell internationally.
Leah Lunger: Great. Thank you. All right. Next question from George Raymond. I think this might be the last 1, but, yeah, we'll see. Can you address sentiments of the future administration and how it might affect the size of contracts or volume of contracts available?
Jeff Thompson: Well, I can start with that. Mr. Hitchcock [has the more] (ph) he wants to add to that. So there's been a lot of talk from this administration how they don't like big exquisite machines that cost tens of millions of dollars when you can buy drones like ours that are probably more capable than any drone ever fielded and now it fits in your rucksack and cost a lot less. We fit perfectly into the efficiency models to make soldiers better, safer, more lethal. And this administration has said many times now, specifically in the last couple of days, how they want to build the largest drone and robot army in the world. So that's one great thing that we think is going to be very good for us going forward. And we do have a good relationship. My other company that I'm on the board of, I'm one of the founders is UMAC. We actually have Donald Trump Jr. on our board as an advisor. They're really excited to bring U.S. Manufacturing back into the United States in the drone space. They've got a [1989 Capital, 1789 Capital] (ph). Sorry, when the Constitution was finally ratified. So I think that this administration will be great for Red Cat. I think that's the last one, Leah.
Leah Lunger: Yeah, and I just want to say, you know, if we missed your question, I do apologize since we're kind of trying to sift through everything here. We will continue to improve in this new format that we're digging into here. So I think that will end our question-and-answer session. And Jeff, if you just want to have any final closing remarks, that would be great.
Jeff Thompson: Yes. So let's just do a little bit of review here. So we're pretty darn excited. We don't have to talk about possibly winning an SRR anymore. It's so nice to not have to say that. We want a sole source contract. We're getting some extra cash from that contract to do a few more features that we'll get in January. We'll start LRIP. We got the kick-off meeting for LRIP in January at Salt Lake City, which is great. Love seeing all these guys and just Hitchcock will be there taking care of that. And then we go from LRIP to full rate production with the Black Widow. And now the Black Widow has a lot more capability. We just announced today artificial intelligence for the battlefield, visual navigation, no GPS required. And those same type of things are going to be going on the FlightWave. We have not spent nearly enough time on the FlightWave Edge 130. It's a very unique bird. It's a very capable bird. It has the best flight time out of anyone on the Blue UAS list. There's going to be a lot more on the Edge 130. We're going to have a lot of updates, by the way, right after the new year. So stay tuned for our Analyst Day. Stay tuned for any news. I want to wish everybody a Merry Christmas and thanks for being on the call. I think we broke a record with almost 1,200 people on here at one point. So thanks everybody.
Leah Lunger: Thank you.
Geoffrey Hitchcock: Thank you.